Operator: Ansell Limited Fiscal Year 2026 Half Year Results Briefing. [Operator Instructions] I would now like to hand the conference over to Neil Salmon, Chief Executive Officer. Please go ahead.
Neil Salmon: Thank you, and good day to you all. It's a pleasure to join you this morning from Melbourne on what is my last day as Ansell's Chief Executive Officer. And I hope you will agree that we're reporting to you a pretty good result to go out on. But more important than that, I also hope you'll hear through this presentation that I believe we have very solid foundations in place that should drive long-term shareholder value creation. So here, the matters we'll cover today. I'll give you the highlights of our performance overview. You'll see another half of double-digit earnings growth. And then against that critical goal, we are on track to offset the effect of tariff costs. I'll then dig a little deeper into the drivers of our growth and give you our usual sustainability update. I'll then hand over to Brian Montgomery, who will highlight the continued improvement in Ansell margins and a strong cash result. And then it will be my great pleasure to introduce Nathalie Ahlstrom, who is succeeding me today as Ansell's Chief Executive Officer and Managing Director. Although today is her first day as CEO, she's been with us the last 3 weeks, starting to get up to speed on the Ansell business. She'll talk to our decision to maintain guidance and continue our buyback program. And then Nathalie, Brian and myself will be available to take your questions at the end of the call. So let's move forward to the results summary. And we continue with our usual practice here of restating at the side of the slide, the goals that we outlined to you at our last reporting period, so August, as we began this fiscal year in the middle is my assessment of our progress against those goals and summary P&L on the right. Talking to organic constant currency sales growth, here, we committed to revenue growth. The reported organic constant currency was a moderate sales decline of 0.6%, but remember that we called out in this period last year, $27 million of sales, which at the time, we said would not be recurring sales. So when you adjust for those, we see a 2% overall organic growth on an adjusted basis versus the first half of last year. Critical, as you're well aware, was that we offset tariff costs through pricing. I'll comment on this in more detail in a moment. But for now, let me assure you that all price increases are in the market, and we see generally good customer acceptance. Strong results on earnings, improvement in GPADE margin. And even though the net tariff effects are slightly dilutive to GPADE margin percent, we still grew GPADE margin through continued strong performance by the KBU delivery of the synergies associated with that acquisition and a broad improvement in productivity arising from the final piece of APIP product savings but extending into what was generally a good result in terms of productivity improvement in operations. And then later, Brian will summarize a strong cash result and an overall good EPS delivery. And so to the right hand of the page, almost 20% adjusted EPS growth. In a world around us that didn't give us a lot of tailwinds, I think is a very creditable result. So let me now talk a little more detail to the effect of U.S. tariffs. On an annualized basis, a 12-month basis, we now estimate the additional cost to our U.S. business of $80 million. And we're on track to offset that in full through a combination of price increases and some other mitigating measures, too. Price increases are now in market, as I mentioned, the first wave was put in around June, July, and the second wave was completed by the end of calendar year 2025. Our intelligence at this point is there's generally good acceptance of those price increases. And so we feel we're well on track against this very important goal. And if I look overall at the equation of price increase, cost increase and volume effects, the net EBIT effect of all of those is in line with or even slightly ahead of where I thought we would be at this stage, which is very satisfying as clearly, that was a very ambitious goal that we set ourselves that we're on track to deliver. Outside of the U.S., we have seen some negative demand impacts from the second order consequences of tariffs, particularly in economies that are heavily dependent on exports to the U.S. So most notably, Mexico, where Ansell has a large market share, a large market presence. It's one of our top three or four countries. And there, we have seen negative demand effects. So some emerging market performance, a little weaker than expected in the half, but our mature markets performance tracking very well and very satisfied with where we are there. So now let me give you the breakout by the segments. So -- and for both Industrial and Healthcare, I'll talk to those adjusted year-over-year growth numbers adjusted for the figures we called out a year ago. So a good result for mechanical, almost 6% adjusted growth and new products continue to be a very strong contributor to our mechanical success, and I'll highlight some upcoming new release examples in a moment. Chemical, we did see a moderate sales decline in chemical. And this is coming more in the less differentiated products, particularly products that are sold into the food industry, where we see a general reduction in activity by our end-use customers and lower reductions in workforce employed in that sector as well. Our more differentiated product ranges within chemical continue to perform well. Once again, in industrial, really the standout result was the margin here. And I still see opportunity for us to continue to grow EBIT margin in this business. And it's a number of factors coming together. So the KBU business that's been -- the part of it that's been consolidated into industrial performed well. We saw lower freight costs than the prior period and generally a good result in terms of manufacturing productivity all contributing to almost 18% EBIT to sales in the half. Turning to Healthcare. And here, we saw on an adjusted basis, again, a good result for Surgical on the back of strong prior period growth as well. In the cleanroom business, it's now apparent that prior to the acquisition of Kimberly-Clark and prior to the completion of the transition period, transition services period, customers had been running at a higher than typical level of inventory. And so for those KBU products, we've seen some destocking come through in the last 6 months as we're now able to track that as following integration, we can see the sell-out data from our distributors and measure that against our sell-in. And for the Ansell products, equivalent products in clean room, we don't see that effect, and those continue to show good growth in the half. So overall, underlying, I'm very satisfied with the clean room growth. Within Exam/Single Use, as you're well aware, at the less differentiated end, that's where we do see some more price sensitivity. It's also lower margin for Ansell. So important that the more differentiated products with high margin, we saw continued growth within Exam/Single Use, and we did see some decline in the lower-margin segments within Exam/Single Use. Overall, also nice to see this improvement in EBIT sales ratio, EBIT margin for health care and certainly some further work to do to get this segment to where we want it to be, but on track to the improvement plan. And again, as for industrial, similar drivers. So the benefit of the KBU acquisition, consolidation, synergy delivery, lower freight costs and generally good productivity coming through in operations. So let me dive into a little more detail on the drivers behind this result. And if I step back a little bit on this day, to me, these are four key reasons why I believe you, as investors in Ansell should have confidence in our ability to deliver long-term consistent shareholder value creation. And I want to begin with the success of our digital transformation. We haven't talked about that too much on these calls, but I don't think it's fundamental to any business. And while there's a lot of talk about the ability of AI and advanced IT capability to drive productivity, if you don't have the foundation, then really you can't unlock the potential. So we've done substantial work over the last 4, 5 years, upgrading the underpinning systems on which Ansell operates, but also really improving our ability to manage data effectively. Data is the fuel of AI. And what's great about Ansell is that our data is proprietary, both the data that enables us to run our business more efficiently, but also the data that is critical to customer bank. We continue on this journey, but we have a strong track record of success here. So turning now to more productive and customer-focused organization. And just to clarify on the accomplishments of the last 4 years slide here. So as when we announced the APIP program back in 2 years ago, of course, the headlines were about the cost savings anticipated to come from this program. And we've delivered on those actually slightly higher than the original numbers we promised. But as I announced the APIP program, I did say that I felt the more important and longer-term benefits was that it would be a more efficient organization structure, also better aligned to customer interests. And that, in turn, would be supportive to our ability to deliver growth. And I think we have clear evidence of that coming through now. And most importantly, I see that the growth strategies we're developing that Nathalie will look to implement are better grounded in those customer insights. And that allows us to give better focus to the product innovations that really resonate with customers. The third aspect here is the strength of our business processes and our overall operating effectiveness. Perhaps during my 13 years at Ansell, this hasn't always been a characteristic that you would first think of when thinking of Ansell. But I think this has fundamentally changed. And we see this in a couple of ways. Firstly, our customers are very appreciative of the improvement we've made in service levels. In the past, they loved Ansell, they loved our products. They love innovation, and frankly, we're a bit frustrated at the inefficiencies of our supply chain. Now those good things are retained and still valued and our customers are recognizing us as one of the best for quality and reliability of supply chain. We see that in the service metrics we track. We see that in the awards that many customers have given us recently. And that operational effectiveness, that ability to deliver complex business processes also comes through in our ability to deliver on the key goals that we set for ourselves and that we commit to you. And the most prominent example of that, of course, is the delivery of the Kimberly-Clark acquisition, but especially the integration of that business within a record time for us and doing so in a way that was seamless to the customer experience. And then finally, I also believe Ansell is better positioned today, obviously, growth markets that often offer long-term sources of growth and also differentiation. The biggest move we've made is the move into the scientific business, where we see elevated growth potential and also elevated customer demand for differentiation. And I'll also talk on the next couple of slides about our ability to continue bringing new products and driving growth and the importance of our service differentiation. So let me now talk to sales supported by new product launches. And here on the right are a few examples. Let me summarize the message that these are illustrating. So already today, in our result, we see very strong growth from our HyFlex high-cap range from our Ringers impact range. What you see on the slide today are only just launching to the market now. So we're not resting on our laurels, where we can. We're continuing to improve on products that are already successful in the market. We're particularly excited by the technology AEROFIT that's behind the HyFlex range here. and then extending our Light Duty impact range, one of the biggest contributors to our recent growth to a range of products with also cup protection in belts. And then on the right, you see a couple of products that are new to the industry that are solving very important unmet needs that customers are eagerly anticipating as we ready them for launch. The 93-800 we talked to you about a few months ago, and this is the first disposable glove that's able to offer meaningful protection against acetone and other key tones, one of the most prominent hazardous chemicals used in workplaces worldwide and there is no disposable product today that offers any meaningful protection against those widely used solvents. And then I also believe we are the first to launch to market a PPAS-Free bioprotection suit for first responders that meets NFPA standards. And this, again, as you can imagine, is an item that is attracting a lot of customer interest and a very important launch. So examples of how we continue to grow against existing successful value propositions and also create new opportunities to the market. And if I summarize these innovation focus areas, the protection piece in the middle there is actually often the easier part of innovation. What's difficult is to combine protection with comfort with a product that enables workers to be productive and then also without asking customers to pay for a premium, but as we innovate products, we also make them more sustainable and better for the environment. When you do those four things together, that's both hard to do and also a long-term source of competitive advantage. But the next area on the next slide of competitive advantage, which I think is just as important as the product differentiation is our service differentiation. And here, we're investing significantly in improving the breadth and reach of these tools because it remains a complex environment for safety managers there eager for expert advice to simplify for them, the complex problem of what is the optimal PPE in a wide variety of manufacturing settings. So our core Guardian Platform is undergoing significant investment. That's about improving that underpinning data sets, unique proprietary to Ansell, as I mentioned, and also using AI and other methods to speed up report preparation so that our sales teams in future can do even more Guardian reports and potentially also broadening the reach of that tool to reach more end users than it has in the past. And you can see a very strong increase in orders completed in the first half. The chemical module within AnsellGUARDIAN, we continue to invest in. This is also unique Ansell data. It arises from our own testing at Ansell in-house labs and it's the most extensive database informing customers how particular materials protect against particular chemicals or combinations of chemicals. And we see very -- we saw very strong growth in the use of this tool, particularly in North America, and EMEA in the first half. And then we see a significant increase in the use of our right cycle waste management program. This came to us through the KBU acquisition. We saw something like a 30% increase in the tonnes recycled through the program. We're also able to substantially reduce the cost of that recycling process. Today, Ansell covers that subsidizes the cost of the program and we are through improved recycling and sorting techniques. We've been able to deliver that increase in volume and actually a lower cost and so, and that allows us to start thinking about broadening the number of customers that we introduce the program to, into industrial markets and also expanding its use in Europe. So these service differentiations are actually, in some ways, harder for competitors to match and offer very important long-term differentiation. So to my final slide, as usual, I'll give you an update on our sustainability goals as well. And certainly, I'm proud of our financial success over the last few years, but I'm equally proud of our progress against sustainability. And fundamentally, I've always believed that our sustainability program has to be aligned also to your financial objectives. They can't be in conflict with each other. And what we see here is both we have reduced Ansell's impact on the environment through measures that have also contributed to our financial success. And if we keep that formula going forward, then we will be able to do both bring benefit under both drivers for the long term. Beginning with our impact on people, of course, our top priority always at Ansell is our own internal injury rate. As you'll know, it's already low by international standards, and we were able to reduce again the number of injuries occurring within Ansell's operations. You're also aware we take very seriously our responsibility to ensure the employees of all our suppliers also operate in safe conditions that their rights are respected. We are extending further the number of suppliers who are covered by our supplier management framework to ensure that our due diligence methods go beyond and reach further into the market, and we know we're driving beneficial change to workforces across our supply base, and that remains a focus. For our impact on the planet, these are our long-standing goals on the left. On the right, you can see we did reduce our emissions. We also reduced our water withdrawals and we maintained our zero waste to landfill certification. So with that, with success against both financial goals and sustainability objectives, I'd now like to hand over to Brian Montgomery, who will give you a bit more detail on our financial results. Brian?
Brian Montgomery: Thanks, Neil, and good morning, everyone. Great to be speaking with you today. Neil provided a few comments on the half year result already. But let me get into it in a bit more detail. Overall, we were pleased with the adjusted EPS coming in at $0.663. Sales were down 0.6% on an organic constant currency basis, which excludes the effect of foreign exchange and some minor product exits. We noted in our first half year results a year ago, and we benefited from $27 million of sales due to temporary order favorability and backorder clearance. So once you back these out, we delivered adjusted sales growth of 2.1%. Tariff-related pricing in the U.S. was the primary driver of adjusted sales growth in the half with the major offset being reduced volumes of medical examination gloves, which we report in the Exam/Single Use business unit within our Healthcare segment. Our first half GPADE margin improved by 220 basis points versus the first half of '25. We noted at this time last year that freight costs were elevated as we're choosing to air freight customer deliveries to clear surgical back orders and fast track shipments of new industrial products. With airfreight usage having returned back to normal, this gives us a good margin boost, which is further aided by sourcing savings that we're able to achieve across key raw materials and some outsourced finished goods. As Neil mentioned earlier, we successfully offset the effects of higher tariffs in the U.S. with price increases and to a lesser extent, sourcing actions. The net effect of incremental tariff-related pricing and cost increases was moderately dilutive to our GPADE margin rate at the half. Turning to SG&A. This is up 0.4% on an organic constant currency basis, with higher employee costs from both wage inflation and strategic hires, partially offset by improved SG&A productivity and approximately $6 million of KBU cost synergies in the half. If we look at foreign exchange, this was a headwind to EBIT of $1.6 million. Underlying currency changes were favorable to EBIT by 4.4%, with our hedge book offsetting some of this positive movement. We've seen quite some sharp currency moves in the past few months with the USD weakening against some of our key cost currencies, which will drive a greater hedge book loss for the full year than we previously anticipated. Now let me touch on this further in the outlook section. So wrapping up on EBIT. We finished the half with organic constant currency growth of 15.4% against the first half '25, as well as a 180 basis point improvement in our EBIT margin, which came in at 14.3%, a really positive outcome. If I move further down the P&L, we booked $7.3 million in significant items in this half, primarily APIP costs relating to our upcoming ERP system upgrades. As you will note, significant items are down materially versus the prior year. The interest line was broadly in line with the first half of '25, and our effective tax rate came in as guided at 24.1%. So on the whole, a solid result in some pretty subdued market conditions, and we look forward to building on this year in the second half. So I move on to the balance sheet. Things are looking in pretty good shape here. Working capital was lower than June '25 by approximately $23 million. Inventory decreased modestly despite the effect of capitalizing higher tariff costs in the U.S. and receivables were down largely due to the timing of collections in North America with a small decrease in payables acting as a partial offset. If you look down at returns, we delivered return on capital employed, or ROCE, of 11.9% and return on equity of 10.1%. The volatility you can see in ROCE over the past 12 months is due to the partial inclusion of KBU Capital employed in the denominator in December '24 and June '25 calculations noting that we calculate ROCE based on average capital employed over this trailing 12 months. If you normalize for KBU and the denominator, June '25, ROCE would have been 11.2% and translating to a 70 basis point improvement through to December 2025 on a like-for-like basis. So we turn over the cash flow here next. Net receipts were significantly higher in the first half -- than the first half of '25, driven by higher earnings and an improvement in working capital. The large increase in statutory EBITDA was driven by our double-digit organic earnings growth helped further by a reduction in cash significant items, noting that last year, we were booking KBU transaction and integration costs at this time. As I mentioned in my balance sheet comments, working capital was lower on improved collections and reduced inventory. This working capital cash inflow helped contribute to normalized cash conversion of 112%, which adjusts for the timing of insurance and incentive payments, which we make in the first half of the year, all in, a really strong result. Net CapEx was $28 million, in line with last year. This included the cost of installing dipping lines on our new surgical manufacturing facility in India with commercial manufacturing now underway there. And finally, we purchased $47 million of shares as part of our on-market buyback program, which was the key driver of the approximately $20 million increase in net interest-bearing debt over the past 6 months. So I move over to the funding profile here. Let me close by saying a couple of words on this slide. The strong growth we achieved in earnings translated to a reduction in net debt to EBITDA to 1.5x, even allowing for the $47 million we spent on the share buyback. The maturities on our debt are relatively long dated, and we have approximately 1/3 of our facilities at floating rates today. So all in all, our balance sheet is healthy and our maturity profile is well balanced, which gives us flexibility to continue to pursue high returning CapEx and further address M&A opportunities as and when we see them, along with continued capital management. So with that, I'll now pass it over to Nathalie to introduce yourself and talk about the outlook for the rest of the year. Nathalie?
Nathalie Ahlstrom: Thank you, Brian, and good morning, everybody. It's -- I'm really exciting to be here in Melbourne today and talking to you as the first time CEO now for Ansell. But first of all, I want to thank Neil. I would say today's half year's result shows that Ansell is today a much more focused, efficient and really well positioned company to deliver long-term shareholder value. And at the same time, as you have seen today, and Neil and Brian has spoken about that. We are at all-time high net sales, absolute EBIT and also extremely strong cash flow. So really a big thank you to Neil and the whole team globally for making Ansell such a strong company. It's a privilege to be here taking over today. I'm really honored to be here with Ansell today. I spent my career a leading global industrial companies, and I have long admired Ansell. I have been a supplier to Ansell and also customer. So I have seen the global scale and also Ansell's commitment with its vision to leading the world to a safer future. And there's really this passion and this vision of leading the world to a safer future that excites me. What excites me with Ansell is it's a well-run company. We are extremely well positioned globally with our balanced portfolio and also with this strong financial results that we are talking about today. We have globally a very talented team. I met most of the teams around the world already in the last 3 weeks. And I must say, I'm really impressed by the talented team. And like Neil was talking about our differentiated value proposition, we really have a strong brand to continue to grow and to build out the company. And of course, like Brian was saying, a strong balance sheet for future growth in the future. So what I'm looking forward with this fantastic products, this fantastic brand, it's really to accelerate the profitable growth to continue to enable innovation that is close to the end user needs and really helps our end users to be safer in the future. I'm also passionate about our sustainability commitment and together with the team, together with Brian and the global team, we are continuing to deliver as we go forward. So it's all about winning with our customers, our end users with our talent and winning for the shareholders. Then if I look at the priorities for the remainder of the second half. Sales growth, as Neil was already talking, we are going to continue with a highly differentiated product launches, and we'll see that coming to the market. So it's all about the innovations. And like Neil was talking about, the Guardian tool also helping us to win and close businesses. And at the same time, it's a very dynamic market environment globally as we all know, and we'll continue to be very close with any changes there might be in tariffs, if anything comes. So we will swiftly react on them. We will continue our strong focus on productivity. And you can see that -- and Neil was talking to that, you can see that with a strong EBIT margin in first half and then continue to deliver on the KBU synergies and then the upcoming one ERP project that will also then drive efficiency as we go forward. On sustainability, we are the global leader in our business. So we have to be at the forefront. We always have to lead the business forward. And this is really our passion, like I said, leading the word to a safer future. This is so important for us. And we're going to continue to broaden the scope of supplier management framework to ensure that we are ahead of the game. Finally, we're going to maintain our track record of strong cash flow conversion. And as Brian mentioned, with the share buyback program also helping that. So those are the key priorities for the second half to deliver second half. Then talking about our guidance and the assumptions behind the guidance. Market conditions in the second half are going to continue to be fairly subdued and the market is dynamic. We are going to continue to drive opportunities on organic growth, the ones related to innovation being closer to customers, close with Guardian and the innovations. We've seen strong earnings in the first half, and we will continue that strong momentum and our track record of delivering in the company. At the same time, on the more negative side, we have -- since the AGM in October, we have seen some foreign exchange FX headwinds to our EBIT. So the FX headwinds on cost currencies is roughly $5 million for the full year. So therefore, with these assumptions, we are maintaining our guidance of adjusted earnings per share of $1.37 to $1.49. And I really look forward talk through the performance and in our results call in August when we talk about the full year together with Brian. And this concludes this presentation, and I open up now the conference line for questions. Over to you, [ Shery ]?
Operator: [Operator Instructions] Your first question is from David Low with UBS.
David Low: Neil, thanks very much for everything you've done. It's been -- you've certainly -- since you took over as CEO, the business went through some pretty challenging periods, but you certainly we've come out the other side of it with the business which does seem a lot more reliable. So really impressed and disappointed to see you leaving. So that's not my question. My question relates to tariffs. Can I get you to talk a little bit more about what you think the implications are for demand and particularly with how the competitors are reacting because it strikes me that price increases of this magnitude surely will see volumes come back a bit and perhaps provide opportunities for lower-priced competitors to at least push their efforts to gain share.
Neil Salmon: Yes. So well, thank you for the comments, and thank you also for the question. I think actually the instance of customers refusing to accept a price increase is very limited. And it's only come in some of the more ancillary parts of the portfolio and also parts of the business that were anyway quite low margin. So it's a very small factor to this result. What we have seen is generally some more price competitiveness, not really directly related to tariff consequences, but in the more commoditized as the portfolio where, as you know, price is a bigger factor to customer decision making and we have seen some volume effects and Brian called that out earlier, particularly noteworthy within the remainder -- this is a small part of our business, but the remainder of our Exam/Single Use products that go to medical applications, we saw that. So generally, yes, certainly, Ansell has been at the forefront of communicating consistently and clearly with customers about the need to raise practices. I think the fact that we were well ahead of and gave customers plenty of notice and has actually been well appreciated by customers, we've been working this through with them on a phased approach. We stuck to our time lines and that's enabled our distributor customers to also manage the tariff impact to them. So certainly, you need a few more months of trading to see the full impact of higher prices in the market. But all the data points that I can see at this stage are very favorable to suggesting we have secured these increases. And of course, that goes back to the reason why 6 months ago, I said that this would be possible. I talked to the differentiation of our products, that those products themselves are a relatively low-cost item within the manufacturing health care settings in which they're used, that there are other far more prominent items of cost inflation that customers are managing. And then as we also wrap up solution around with the service offerings and particularly the waste management program at the chemical Guardian data just further cements the reason why continuing to work with Ansell is something that customers appreciate. So overall, as I said earlier, if I look at the total effect of price, cost and volume and translate that through to EBIT, it's tracking even ahead of what was an ambitious goal that we set out 6 months ago. So I hope that gives you a bit more color to that, David. And just to clarify, all price increases are now in the market. And so it's a question of maintaining those and then overall delivering what we expect to be a better volume year-over-year outcome in the second half as well, which I think is very much within our growth.
David Low: Great. And maybe just one follow-on then. Just on the guidance. So effectively, there's a $5 million headwind from FX. And I guess one of you to remind us how seasonality is likely to play out? I mean, it's typically been a bit second half weighted. What should we expect this year?
Neil Salmon: Yes. So I'll let Nathalie comment in a moment on that. But yes, at the AGM, we said FX would be favorable. Now it's turned out to be slightly negative. So you could interpret maintaining guidance as an operational upgrade after you adjust for that FX movement. Yes, first half, second half phasing is not challenging to us at this stage. But Nathalie, anything else you'd like to say about second half, yes.
Nathalie Ahlstrom: Yes. Just on the headwinds on the FX, this is to the cost currencies. And as I said, it's roughly $5 million for the full year. So that's a change from the AGM and that's why we are maintaining our guidance as it is today.
Operator: Our next question is from Vanessa Thomson with Jefferies.
Vanessa Thomson: I also wanted to say thank you to Neil. It's been great working having you there. And also congratulations to Nathalie. I just wanted to follow through on the question around growth, subdued end markets this half. And you said that you feel that tariffs are broadly accepted. I wonder if we could get some more color around that subdued growth and how the start of 2026 has panned out.
Neil Salmon: Yes. So I think if I separate mature markets in EMEA and emerging or developing markets, mature markets were really right where I thought they would be. If you look at PMIs or other forward indicators of demand, they're all indicating at best flat or even a slightly negative demand environment. And we see that borne out through a number of publicly available data sets, but also some of the market talk we hear about how others are doing in the industry. I mean, particularly in Europe, you see automotive production pressure, do you see chemical production pressured. Those are important markets for Ansell. The fact we've been able to achieve growth in those markets, talks to our ability to pivot to other more differentiated and higher growth verticals. So the energy transition, the defense industry and the aerospace industry, of course, contributing to defense, those are all opportunities that we've been able to tap into of offsetting growth that's contributed to what I believe is meaningfully outperforming the market in EMEA. North America, of course, also affected by automotive. But again, in North America, we're finding other areas to win and that very strong contribution of new products. So it's emerging markets where demand was in some emerging markets was a little bit softer than anticipated. I call that Mexico. That's the most prominent example. But in other markets, India, Brazil, China, and you'll be pleased to hear me talk about the largest of all, we still see double-digit growth in those markets. So plenty of opportunity that our value proposition works still in emerging markets, India, particularly encouraging because, of course, in the next few months, we're now bringing up to commercial production, our India surgical facility, and it remains the surgical business that is really the overall driver of Ansell growth in India. So I think second half versus first half, I wouldn't say we see any major change in those underlying demand trends at this stage. So it remains on Ansell to overperform versus those subdued market conditions. We've shown we can do that and that we need to continue doing that.
Vanessa Thomson: And then just to follow on then from that. You've long spoken to medium-term organic growth of 3% to 5% per annum. You've now increased your scientific exposure, U.S. brand recognition. Do we stay with the 3% or 5%?
Neil Salmon: Well, I'm sure this is a question that Nathalie is going to be considering, and it's also unfair to ask it to give you an answer on day 21 or whatever it is. Yes, I think as I highlighted earlier, foundations are in place that would allow us to be confident at least in that goal. And I think it's fair to allow Nathalie some time to assess the business before she comes back to you with her view as to what the growth potential is of the company. But it's a very relevant question and certainly see no reason why we can't consistently deliver on that previous range. And I'm sure Nathalie will be considering ways that we can do even better, but early at this stage, yes.
Operator: Your next question is from Dan Hurren with MST Marquee.
Dan Hurren: Did you just say that the markets ex U.S. were double-digit growth? Or are you saying that's the potential?
Neil Salmon: No, I just called out three specific countries where we saw double-digit growth. But the market demand was not double digits in those countries. So Brazil, India, China, where the markets I called out. Other emerging markets, we saw double-digit declines. So it's been much more of a mix picture in emerging markets. And really, I would say, the performance that I'm most proud of in this half is our mature markets performance. And perhaps if you go back again in several years, Ansell was heavily reliant on emerging markets for our total company growth. And I think emerging markets continue to offer that promise long term, but we needed to get mature markets performing consistently as well clearly. And so that, to me, is the standout of this result and the last period of time is the improvement we've made in our ability to deliver continued growth and positive margin in our mature markets. So hopefully, that clarifies that point for you, Dan.
Dan Hurren: Understood. We have seen at least some of the product that's been pushed out of the U.S. market by tariffs arriving into various other markets. Is that meaningful for any of your markets? If so, is it going to get better or worse?
Neil Salmon: I'd say we see it in some spots, but I wouldn't go so far as to call it meaningful. And it tends to happen, as I was saying earlier, on the more price-sensitive parts of the portfolio. So certainly, at the commodity end of Exam/Single Use, as you know, we're a very small player in what's a very large market. Yes, we have seen some business outside the U.S. I'm talking now. We have seen some increased volume moves based on specific pricing. But that's quite a limited effect overall for Ansell. And I'd say, more generally, the effect of volume moving from China to other markets has been less perhaps than some would have expected. And so I don't see it as a meaningful contribution to our performance in the half and nor do I expect it to change into the second half going forward.
Operator: Your next question is from Craig Wong-Pan with RBC.
Craig Wong-Pan: My question is about some of the mature markets, Neil, that you talked about pivoting into like energy transition and defense. I just wanted to understand if you were not in those markets or if it's more that you're underrepresented and what has enabled you to kind of grow into those newer markets?
Neil Salmon: Yes. So certainly, we've always been in those markets. And I would say, in the past, we had a few good products that sold well into, for example, aerospace. But this links back to that change in organization structure that I talked to. When you set your teams back from the market, you encourage them to think not about how do I sell this product portfolio and where can I find customers for it, but instead, what's the total solution that an aerospace, defense and energy company is looking for and how can we at Ansell provide that total solution. So -- and that means our customer-facing teams pulled together across the full Ansell portfolio is -- and then are able to benchmark from similar manufacturing sites across the world. So we can go in and we can say, we understand your workplace. Here's the complete answer solution that you need. Here's how it's backed by research that we've done, showing that our products perform better. So as I mentioned, it's not the collection piece. It's the overall performance piece. Here's our products benchmark against some competitive solutions that you may also be looking at. And here's -- and now we'll also offer other benefits to you we'll offer training, we'll offer webinar, we'll offer waste management solutions. So it's more bringing a tailored solution, portfolio solution to energy, to aerospace, to defense that we see a lot of problems behind. And we have a significant increase in the pipeline of -- in these verticals. I would say though, the decision cycles along funding is sometimes uncertain in terms of timing. And so it's always hard to predict exactly when that pipeline translates to sales revenue, but encouraging at this stage. And certainly, that has to be the name of the game at this stage is finding those verticals that still offer opportunities for growth at a time when other markets are subdued in demand as we have discussed. So lots of potential for the future there.
Operator: Your next question is from Saul Hadassin with Barrenjoey.
Saul Hadassin: Neil, just the first one, you called out in cleanroom sales within the health care GBU that there was destocking on the Kimberly-Clark product, but that the Ansell brand did well. And you mentioned good growth. I'm wondering, can you tell us what that growth was? And do you still expect growth in that category once we normalize for the destocking, do you still expect an upper single-digit rate of revenue growth for cleanroom gles within the Healthcare segment?
Neil Salmon: Yes. So high single digits is what we've guided to for Scientific more broadly. And yes, that is consistent with what we saw for the products that were not affected by those destocking trends. Some of those destocking trends are now behind us, some I think, still have some months to run. It's also paradoxically the case that as Ansell service metrics improve, when customers run their algorithms of how much inventory they need to hold, they suggest, well, Ansell is such a reliable supplier. I don't need to hold quite as much inventory. So that's the sort of slightly broader effect, I would say, in the half of destocking, not big enough for me to call out and certainly nothing like destocking effects we've had. Our ability to see that is much improved versus where it was, and this is critical. We couldn't weren't able to quantify it for the Kimberly-Clark products because we didn't -- before we integrated, we didn't have that same visibility for those products. So -- but now we can see it, and therefore, we have the confidence that I'm able to describe. But yes, fundamentally, I view that scientific portfolio as having a higher than the Ansell average growth rate and potentially plenty of potential for the future. And that broader differentiation we're able to bring in challenging clean room manufacturing environments stands up very well with customers based on what they're looking to achieve, yes.
Saul Hadassin: Just a follow-up. You also mentioned on the call that EBIT and EBIT margin, there's still work to be done. I mean, just cognizant of the benefits you got through the half distribution in terms of freight and also sourcing. Where do you expect those additional improvements to come from as it relates to that EBIT margin? I guess the question will be is in fiscal '27, and once you have the sort of fully embedded benefits from KC and also the APIP, there's going to be an expectation of ongoing operating leverage. So I'm keen to understand where do you see that leverage coming from into second half '26 and potentially to '27?
Neil Salmon: Yes. So I think, again, in the shorter term, it's a continuation of the programs that we've already announced to you. So we still have another piece of synergies to deliver against our existing target and the APIP program is favorable this year against next year. I think longer term, Nathalie mentioned it already, but key to longer-term drivers of productivity are enhancing the ability that our stronger systems underpinning gives us and then also success with more step change automation projects within manufacturing. We're in the test and learn phase, building out new-to-industry capability in terms of automation. And if those concept lines prove successful, then we'll give you more details about those in the future. But Nathalie, would you add anything to productivity objectives here?
Nathalie Ahlstrom: Well, then I would actually add the growth aspect that you Neil spoke to that we have some areas that are structurally higher growth areas and also higher margin. So moving the portfolio. But early for me to say. I'll come back more in then in August with the full year reporting.
Operator: Your next question is from Andrew Paine with CLSA.
Andrew Paine: On the result and reiterating the other comments, Neil. Congrats on what you've done and good luck for the future and to you, Nathalie as well. Look, just a question around the 1 half, 2 half weighting and I guess, your upgrade at the AGM. Can you provide a bit of information around the FX? Obviously, you're saying there's an FX headwind of $5 million to be included here. What were you including as a tailwind at the AGM? Just trying to understand the driver of more of an underlying upgrade here.
Neil Salmon: Brian, do you want to take that one?
Brian Montgomery: Sure. Yes. Thanks for the question. So as we started the year, we were assuming about a flat FX impact on EBIT. As we went to AGM, we saw that benefit somewhere in the neighborhood of $2 million to $3 million. That was factored in some of the upgrade that we had talked about at that time. And now for the year back down to minus 5%. Really, what we saw was the strengthening Malaysian ringgit and the Thai baht getting stronger versus the dollar and euro has kind of flatlined a little bit. It ran up earlier in '25. And so that's the dynamic now that we see going forward. Now from a first half, second half, I think the second part of that question, we saw about 1.5 million, give or take, of pressure in the first half of the year. And the balance of that 3.5 million will be in the back half based on what we know now, knowing that FX does move around a little bit. So hopefully, that answers your question. That's how we're seeing it at the moment.
Andrew Paine: Yes. Okay. So just to clarify, so $3.5 million of that $5 million is in the second half and $1.5 million is in the first half of the headwind.
Brian Montgomery: That's right. Yes.
Andrew Paine: Yes. And so like if I run those numbers, it looks pretty similar to the upgrade that you pulled through in at the AGM. So you pull through a $0.04 upgrade at that AGM. So it sounds like you're giving that back in FX, but implying a $0.04 to $0.05 upgrade of the underlying.
Brian Montgomery: Yes, I think you can look at it that way in the sense that we've been able to hold guidance despite FX going against us a bit.
Andrew Paine: Yes. Okay. That's great. And then just any insights that you could provide around the -- where you push price increases through over the half? And if possible, the magnitude of these price increases?
Neil Salmon: Yes. So I'll take that. We're not giving specific percentage amounts and they vary according to the specific tariff cost impacts that we're seeing and the nature of the products. But generally, I'd say it's been harder to get price increases through in the medical setting versus the industrial setting and it's in the medical space, where, as I mentioned earlier, some relatively ancillary parts of the portfolio, and these are not adding up to anything close to double-digit million. So a limited effect where we've not being successful in getting price through, and we've accepted to walk away from that business. And that's always what you have to do. I mean, you can never manage price for discipline without accepting that you have to be able to take some loaded volume risk as you were doing so. Otherwise, you won't achieve that overall pricing goal. But as I mentioned before, when I look at the net effect of the limit -- quite limited volume effect, what we've achieved in terms of price increase, over the cost increase and translate that through to the EBIT line, we're tracking slightly ahead of what was an ambitious goal when we set it out to in August. So hopefully, that gives you a little bit more color without giving you the exact percentages that perhaps you would have liked.
Operator: Your next question is from Laura Sutcliffe with Citi.
Laura Sutcliffe: First question is on Exam/Single Use. I think you called out in your materials some decline in volume. Is there any risk that there's a permanent pattern of declining use in those products?
Neil Salmon: So I think the -- we called out decline in volume in the medical exam space. And this has long been a part of the market of lesser focus for us. It's where the product -- there's very limited product differentiation, and we see much larger players who have the benefits of economies of scale in the medical exam product, and it's generally a very standard product. So everyone -- many producers have it. There's limited product differentiation. In the past, Ansell was able to carry or offer to customers a limited portion of medical exam product where it was part of a broader package of other more differentiated products, most notably the surgical portfolio. And now in current conditions wherever -- where there are some savings to be had, customers will take those, then we've seen customers disaggregate. So maintain with Ansell on the more differentiated parts and accept some lower price points on the medical exam piece. Whether that comes back or not, Laura, it has done in the past. It's also not a focus of ours. It's not business that is -- it's certainly not a business that's going to be a long-term source of value creation. So what's encouraging is even with these higher areas of price competition in some parts of the portfolio, we continue to grow the differentiated portfolio. And that's -- this is the contrast we've always tried to draw in Exam/Single Use for our business versus other more commodity-oriented single-use businesses. And we continue to innovate in this space. So that product that I mentioned earlier, 93-800 goes into this and is a great example of how Ansell is the only company able to offer a level of protection and comfort and performance that just doesn't exist from other suppliers. So I see significant potential to continue growing more differentiated portfolio. And the areas where we're a little bit down on volume does not really concern me within Exam/Single Use.
Laura Sutcliffe: Great. And then secondly, you mentioned the potential for elevated growth in the Scientific segment, some of the pieces you just mentioned. We've seen share prices of CROs in the U.S. suffer as the market takes a bit of a view that AI could mean less lab work in the future. I know it maybe feels like a bit of a stretch, but I was wondering if you'd ever contemplated that scenario from the perspective of a supplier to that segment.
Neil Salmon: So I think, well, the lab industry generally right now actually is not seeing a lot of growth because government funding has also been affected as you're aware. So the lab market is not really where we place our confidence and can call out that opportunity for high growth. It's more the manufacturing environment. So this is where cleanrooms are used in the production of pharmaceuticals and production of medical devices, and increasingly, cleanrooms are being adopted in other settings as well. So the electrification of supply chains introduces cleanrooms into manufacturing settings where they weren't there before most battery assembly facilities use a cleanroom facility at some point. And these -- certainly, where possible, these facilities are already highly automated, as you would expect, but there's still a very important role for workers in these facilities. And the quality standards are critical, and I don't see this as a scenario where AI is going to make a difference. Yes, automation will be a factor, always has been, has been since my day 1, 13 years ago at Ansell and will be, I'm sure, throughout Nathalie's time. And what we've shown through my 13 years is for every site that reduces workforce through automation, there's another site that's growing. There's another site that's expanding. And so the number of hands needing protection in those clean room manufacturing environments, I would expect to grow. And certainly, when you consider the broader adoption of clean room facilities, including in emerging markets. So that to me is the more important space for us versus the more routine lab work. And that's where I have the confidence in the growth rates that I was talking about.
Operator: Bailey with Morgan Stanley.
David Bailey: Neil, adjusted sales growth of 2.1%, I'm sort of getting volume growth of minus 1% if you strip out the price increases coming through. Just wondering if you can just help us understand the phasing of those volume or volume growth trends over the half. I just sort of -- you sort of flagged that there were some price increases on a staggered basis. Was there any impact of inventory build in the September quarter or anything like that? Or is there any sort of nuances in terms of the volume growth pattern as we exit first half '26 into the second half of '26?
Neil Salmon: I wouldn't call out any major phasing differences first quarter, second quarter in this period. There were some in the prior period because of the timing of that $27 million, which you've adjusted for renewal figures. So we haven't seen at any stage in our price increase, any major buying ahead of those price increases. And of course, then you want to track to make sure that the point of sale continues post price increase, and that's generally what we've seen and also as we start this year. So that's what gives us the underlying confidence in those statements. So I think generally, I do expect a bit more favorable volume trends into the second half, partly because of easier comparisons, but then also the continuing momentum of the growth drivers that we've talked about here today. So -- but no, to your original question, not a big difference, I would say, in first quarter, second quarter phasing other than the prior year effects that we talked about.
David Bailey: Yes. Understood. And maybe one for Brian. Just SG&A was a pretty significant beat relative to our expectations. It looks like KBU synergies plus a bit of other internal initiatives doing quite well there. How should we think about that number into the second half, either as a percentage of revenue or absolute numbers, that would be useful.
Brian Montgomery: Yes. We don't got anything specific on SG&A, but I would think about the trends being similar. Incentive, as we talked about incentives were paid out at a higher level in year-ending '25 payable and '26. This year, they're a little more normalized. So that's also an aspect of what you're seeing here in this particular half, and we'll have to see how that plays out here in the second half.
Operator: And our final question is a follow-up from Vanessa Thomson with Jefferies.
Vanessa Thomson: I just wanted to ask, you said that sales was supported by new products. I wondered on that Slide 11, I think they're all industrial products. I wondered if there was anything in health care or if there is anything coming?
Neil Salmon: Well, the nitrile disposable glove, the 3800 on the right is actually reported under health care. It's one of those that goes into industrial. Yes, I know that's confusing. So I think within Surgical, it's generally not a market that wants a lot of new products. So we do see the products that we launched 4 or 5 years ago, continuing to perform very well, particularly our hybrid combinations of different polymers. The focus within Surgical more recently has been to manage through the supply chain disruptions of the pre- and post-COVID period and its consistency of quality that is the overwhelming requirement for customers. We are looking at again at whether we can achieve breakthrough polymer performance in the surgical business, there could be a meaningful differentiation of customers, but very much at the early stages. Again, within the scientific portfolio at this time, the priority has been consolidating the two -- the acquired and the existing Ansell range, communicating very clearly to customers what that -- how we tell that total range now that we have almost a complete head-to-toe solution. You can call all the KBU products, new products to Ansell, even though they're not new to the market. I think it's very encouraging how some of those products that we didn't previously have are also showing very strong growth. So eyewear is a range that Ansell didn't have historically. We acquired a strong North American market presence. Not one of the particular focuses, and we haven't talked about it much with you before, but we saw good double-digit growth in the eyewear range in the half as well. So that's an example of how we can rejuvenate a product that has been in the market some time. When you bring it under the Ansell brands, when you add to it that service offering, we can generate significant growth. So I think within the scientific space, it's not necessarily about brand new products to market. It is about simplifying that portfolio helping clean room environments, meet their quality and regulatory standards and then consistent delivery, and that's as much -- that's as important to share growth in that environment as new products. So yes, it is more of a focus in industrial than in health care. -- but it's innovation in different ways in health care that's leading to differentiation.
Operator: There are no further questions at this time. I'll now hand the conference back to Nathalie for closing remarks.
Nathalie Ahlstrom: Thank you. And thank you for the lively discussion and questions that you had today for both Neil and Brian. And just to close this session today. I really want to sincerely thank you, Neil. It's a privilege to take a company that's this well run and finishing at all-time higher net sales, absolutely EBITDA and strong cash flow and also with our fantastic teams globally. As said, we're maintaining our guidance with adjusted EPS of $1.37 to $1.49. So that's key. And I and Brian are really looking forward to seeing you all then in August when we are talking about the full year performance. And now we are focused on delivering our guidance. So thank you, everybody, and see you soon.